Operator: Good day, ladies and gentlemen, and welcome to the Q4 and Fiscal Year 2014 DLH Holdings Corp. Earnings Conference Call. My name is Greta and I will be your operator for today. At this time, all participants are in listen-only mode. Later we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today Casey Stegman, Director at Stonegate Capital Partners. Please proceed.
Casey Stegman: Thanks, Greta. Good morning everyone and thank you for joining us for today's conference call. I am Casey Stegman, Director of Corporate Advisory at Stonegate Capital Partners, Investor Relations Advisor to DLH Holdings Corp. On the call with me today is Zach Parker, President and Chief Executive Officer of DLH; and Kathryn JohnBull, Chief Financial Officer of DLH. Earlier today, the Company posted its earnings release which outlines the topics that management intends to discuss today. Should you have missed that release, it can be found on the Investor Relations page of DLH's corporate website at www.dlhcorp.com. As a part of today's call, we have provided a slideshow presentation that can be accessed on the DLH website. Go to the Investor Relations tab towards the right side of the page and click on Presentations under the drop-down menu. We are also providing a simultaneous webcast of today's call with the replay available later today on our website. Please note this conference call may contain forward-looking statements as defined by the Federal Securities laws. Statements in this call regarding DLH Holding Corp's business, which are not historical facts, are forward-looking statements that involve risks and uncertainty. While these statements reflect DLH's current views and outlook, they are subject to factors that could cause its future results to differ materially. These risks and uncertainties are discussed in detail in our documents filed with the SEC, specifically the most recent reports on Form 10-Q and 10-K. On today's call, we will be referencing both GAAP and non-GAAP financial results. A reconciliation of our non-GAAP results to our reported GAAP results is included in our earnings release and in the investor presentation on DLH's website. All comparisons throughout this call will be on a year-over-year basis unless stated otherwise. With that said, it's now my pleasure to turn the call over to Zach Parker, President and Chief Executive Officer of DLH. Zach?
Zach Parker: Thank you, Casey, and good morning and welcome to our shareholders and other interested parties. We appreciate your participation in this conference call and webcast. As Casey indicated, earlier today we posted our fourth quarter and total year fiscal 2014 financial results. Our performance for the fiscal 2014 improved across the board, with increases in revenue, gross margin, adjusted EBITDA and net income. For the year, revenues increased 13.1% over the prior year, gross margin dollars grew 19.5%, consistent with our strategic plans and adjusted EBITDA increase 133% over the prior year as we continue to grow revenue and increase our operating efficiencies. Net income earned for fiscal 2014 was 5.4 million, including a 4.6 million tax benefit. Our successful earnings for the year have resulted in a 0.7 million working capital surplus, an improvement of 2.7 million for the year. We also achieved another key milestone in fiscal 2014 with the addition of Dr. Elder Granger, U.S. Army Major General (retired), to our Board of Directors. Dr. Granger is very focused on healthcare innovation and his insights will be invaluable in overseeing DLH’s continued transformation. His medical practitioner awareness and his substantial leadership experience will also be invaluable as we continue to pursue our strategic initiatives. We have continued our proud tradition of strong operating performance and value delivery to our customers and their beneficiaries. For example, for the fifth consecutive year, the Department of Veteran Affairs Consolidated Mail Outpatient Pharmacy, we refer to as CMOP, received the highest customer satisfaction score amongst the nation’s public and private mail order pharmacies as determined by the JD Power Customer Satisfaction and Quality Award program. DLH is the sole support contractor providing on-site program and project management, pharmacy services and pharmaceutical quality assurance and medical logistics in support of this major program. I’d like to talk a little bit about our business climate. On Slides 6 through 9 of our online presentation, we provide a summary of our market and business development focus. We are excited about our new business this year, including our Department of Defense Research Development Test & Evaluation work regarding the medical devices in use by our troops in theater. In addition, we are also proud to have started and expanded our virtual pharmacy support to the Department of Veteran Affairs. On top of our strong contract backlog, our business development activity has built a strong qualified new business pipeline which exceeds 400 million in opportunities. These opportunities have been re-positioned with a major focus on the federal health agencies market, most of which are within the Department of Health Affairs or the Defense Health Affairs agency and the Department of Veteran Affairs Health Community. These are consistent with our new business strategy. The budgets remain very strong in these agencies with strong support from both sides of the aisle and within the Pentagon. In summary, DLH continues to leverage excellent program performance, increased business development and a much improved business balance sheet to deliver growth and greater value to our shareholders. Kathryn will now provide a more detailed discussion of our financial results. Kathryn?
Kathryn JohnBull: Thank you, Zach and good morning, everyone. We are very pleased with our earnings and financial positions that we’re reporting to you today. Let me first take a moment to briefly describe the tax benefit that we realized for the year, as reflected in our fourth quarter and full year results. For a more extensive discussion this issue, please refer to our 10-K. But in summary, due to our recent trend of positive operating results, we realized a $4.6 million tax benefit related to the release of a portion of our valuation allowance to reflect the amount of our deferred tax assets that we expect to realize in future years. This release for the current year is based on our current estimate of future taxable earnings, which will be updated at least annually or more frequently upon the occurrence of an event which warrants the new estimate. We expect to be able to utilize net operating losses and the tax benefit of them to offset future cash taxes into the foreseeable future. We now turn to our detailed financial results beginning with results for the fourth quarter ended September 30, 2014 versus prior year fourth quarter. Revenues increased 1.5 million or 10.9% over the prior year with the increase due primarily to new business awarded in late 2013 and throughout 2014 as well as expansion on current programs. Gross margin of 2.3 million increased by approximately 0.4 million or 19.1%. As a percentage of revenue, our gross margin rate of 15% improved by 1 percentage point over prior year, benefiting from improved contract performance while partially offset by increased worker’s compensation cost. We continue to implement internal measures to control costs and improve our margins. D&A expenses, which includes general, administrative, operating and business development activities, were 2.1 million for the quarter, an increase of 0.3 million over the prior year fourth quarter due principally to expenses related to growing our contract base. As a percentage of revenue, G&A expenses were 13.5%, an increase of 0.9% over prior year fourth quarter. Excluding non-cash stock and stock option expenses, G&A expenses were 2.9% of revenue, an increase of 0.6% over the prior year fourth quarter. Income before taxes was approximately 178,000, an improvement of 169,000 over prior year fourth quarter due principally to improved income from operations and lower financing and borrowing expenses. Income before taxes per share, basic and diluted, before taxes was $0.02 per share for fourth quarter ended September 30th, an improvement of $0.02 over the prior year period. Net income was approximately 4.8 million, an improvement of about same 4.8 million over the prior year fourth quarter. This improvement was due to the previously discussed $4.6 million tax benefit and a 0.2 million improvement in income before taxes. Net income per share basic was $0.50 per share for the fourth quarter, an improvement of $0.50 over the prior year period. Net income per share diluted was $0.48 per share for the fourth quarter, an improvement of $0.48 per share over the prior year period. Adjusted EBITDA is a non-GAAP measure that represents earnings from operations with non-cash items such as stock, expense and depreciation added back in. This is a key measurement that we use to evaluate cash contribution available to our business operations. Adjusted EBITDA for the fourth quarter 2014 was approximately 0.3 million, an increase of approximately 0.1 million or 39.1% over the prior year. This increase is due principally to increased revenue and gross margin. Next, let’s look at the results for the fiscal year ended September 30, 2014 versus the prior fiscal year. Revenue was 60.5 million, an increase of 7 million or 13.1% over the prior year. This increase in revenue was due primarily to new business awarded late in 2013 and throughout 2014 as well as expansion on current programs. Gross margin was approximately 9 million, an increase of approximately 1.5 million or 19.5% over the prior fiscal year. As a percentage of revenue, our gross margin rate was 14.8% for the year ended September 30, 2014, an increase of 0.8% over the prior year period. Gross margin rate benefited from improved contract performance, offset in part by increased worker's comp cost. We continue to implement internal measures to control our cost and improve our margins. Turning to operating expenses. G&A expenses were approximately 8.1 million, an increase of approximately $1 million or 13.5% over the prior year period. This increase was primarily attributable to managing our increased business volume, increased spending on new business acquisition initiative and non-cash stock option expense for awards during fiscal year 2014. As a percentage of revenue, G&A expenses were 13.4%, nearly flat at 0.1% increase over the prior year. Excluding non-cash stock option expenses, G&A expenses were 12.6% of revenue, a decrease of 0.3% over the prior year. Income before taxes for the fiscal year was approximately 0.8 million, an improvement of approximately 0.9 million over prior fiscal year due principally to improved income from operations and lower financing borrowing expenses. Income before taxes per basic and diluted share was $0.08, an improvement of $0.10 per share over the prior year period. Net income for the fiscal year ended September 30, 2014 was approximately 5.4 million, an improvement of 5.5 million over the prior fiscal year. This improvement was due to a $4.6 million tax benefit that we previously discussed and a 0.9 million improvement in income before taxes. Net income per share basic was $0.56 per share, an improvement of $0.58 over the prior year period. Net income per share diluted was $0.54 per share, an improvement of $0.56 over the prior year. Total year adjusted EBITDA slightly exceeded $1.3 million for the year, an increase of 0.8 million or 133% over the prior fiscal year due principally to increased revenue and gross profit. Moving on to the balance sheet. Our fourth quarter fiscal year results reflect our trend of improving our working capital position, erasing our beginning deficit of $2 million and ending the year with a surplus of 0.7 million. The key contributor to this improvement is profitable operations and therefore we expect our working capital position to continue to improve during fiscal 2015. Net cash of 3.9 million at September 30th compares favorably to net cash of 2.1 million at September 30th of last year with the improvement derived principally from the operating cash flow of 1.7 million in the current fiscal year. At September 30th, we had cash on hand of approximately 3.9 million, available loan reserves of 2.5 million and no borrowings. We believe we have adequate liquidity resources to fund our operations and support our growth over the next 12 months, [improve] (ph) our existing cash position, availability under our credit facility, our funded backlog and our internal business plan for earnings and cash flow from operations. We’re pleased with our FY14 results and we believe we’ve implemented an operational model that can sustain this progress and that can scale as the Company continues to grow. That concludes my discussion of the financial statements. I will now turn the call over to our operator to open it up for Q&A.
Operator: (Operator Instructions) And your first question comes from the line of Richard Greulich with REG Capital Advisors. Please proceed.
Richard Greulich: Could you elaborate on the strategic new business start-ups that you identified, the DoD medical systems RDT&E and then the virtual pharmacy services for the VA?
Zach Parker: Sure, Rich, I’d be happy to. And I don’t hear your printer at all in the background, so it's working well. The research and development work that we’re doing is with the, really the center of the universe, if you will, in medical logistics and acquisition is in agency headed by the Army at Fort Detrick, Maryland. And we’re really pleased that we are doing some work that involves the very front end of the medical support for our troops in theater. In short, what we’re doing is evaluating from a research and development standpoint potentially new products to be fielded by our armed services in order to assist their ability to stay in the fight and to increase the medical readiness of the troops with the commanders out there. The research and development efforts involve us working very closely not only with the Army and the other services, but also with some of the think tanks and universities and of course medical product vendors that have products emerging that have the potential to emerge and become not only deployable for our troops, but also for commercial applications. As such, our folks work very closely with the FDA. Biomedical engineers will help to ensure that the technology readiness level moves from research and development. We're also involved in developing the test and evaluation plans for these products and devices. We conduct those tests in many cases as well on behalf of the armed services and then also we make recommendations for potential fielding. So it’s really exciting work to us. And as you know, we talked about before moving more into the higher, up the food chain as we refer to it in terms of the higher margin work and is in fact doing that for us as well.
Richard Greulich: Does that relate to a specific contract that was then left -- that you competed with in one, to provide the service?
Zach Parker: Yes.
Richard Greulich: And over what period of time does this range, how long going this is?
Zach Parker: So you may recall a couple of years ago we announced that we won a contract Indefinite-Delivery/Indefinite-Quantity contract called [Pass] (ph). So this work is a task order we had to compete for and we were successful under that ID/IQ. And we’ve got probably three or four additional opportunities over the course of the next six months that we look to compete on at the task order level as well. I’ll have to come back to you on the period of performance. I want to say it was a three-year award. These are -- normally they’re three to five year contract awards. I believe for this particular task order it is three years.
Richard Greulich: And this was started this year?
Zach Parker: We actually began the work this year. I think it's the one that Kathryn referred to. They announced the award I think at the very close of FY13.
Kathryn JohnBull: Right.
Richard Greulich: And then the virtual pharmacy services for the VA?
Zach Parker: So this is one that we’re really excited about. It’s a real nice adjacency for the kinds of work that we do for the VA in the CMOP and the mail order pharmacy piece. But this is one that we think has really good tentacles into other federal agencies and the Department of Defense as well. But in short, it is to provide pharmacy services and address both the compliance with the doctor-prescribed medications from the VA medical centers as well as potentially commercial doctors at retail pharmacy sites to support various dependents for veterans throughout the U.S. And as such, we will be providing these services not physically at the medical centers and so it’s really virtual. We’re also in the process of standing up infrastructure and some tele-health technology which allow us to do tele-pharmacy and this will be a key part of it so that, as Kathryn indicated earlier, we don’t have to increase our infrastructure as we start to bring on more work. So in short, we really consider this a major initiative that goes well beyond the level of support that we’re starting today with the VA. But we’re really excited about that work too. We think it has just great go-to-market opportunities for us.
Richard Greulich: When I saw the large EPS at the bottom line in headline on my Thomson, I thought you might have finally concluded that protracted negotiation where you build and you didn't get reimbursed, et cetera. But still that hasn’t happened?
Zach Parker: You’re referring to the veterans, I believe?
Kathryn JohnBull: Right.
Richard Greulich: Yes.
Zach Parker: As we’ve described before, of course we’re very optimistic that we will prevail. We’re getting closer. We’ve taken additional steps to move that further and I think we’ve adequately [indiscernible]. Kathryn, do you want to...
Kathryn JohnBull: Right. So just to move the process along, there are additional steps that you can take and when we did formalize that interaction through a claim that we submitted at the end of September. So that puts a timeline on it so that kind of keeps the process moving forward. So that’s the activity we took in late fiscal '14 so that we can get it moved on and get that one off the books is certainly a key goal for us.
Operator: (Operator Instructions) And your next question comes from the line of Roger Nedrow with Stifel. Please proceed.
Roger Nedrow: Could you explain $4 million tax benefit again? I don’t quite understand that.
Kathryn JohnBull: This is Kathryn. We, as you know, had a extended period of generating losses back in the history of the Company. And as you generate losses, those create what are called tax net operating loss carry-forwards. And as a GAAP filer, of course you're obligated to go through the assessment of what's your possibility and probability of using those losses. So as long as you're continuing -- in short, to simplify it, as long as you're continuing to lose money, you'd have to book a reserve against those tax assets because there is no assurance to compete more -- you can’t demonstrate you have an ability to use them at any point. So once you become profitable, you go through a different exercise and you evaluate your prospects for using those tax assets against future earnings. And so we made a judgment that we do have significant losses carry-forward, but we made a judgment based on our current level of volume that we expect to be able to use $4.6 million of those net operating losses. It's a long-term 20 year carry-forward period. It's obviously a forecasting exercise that has significant numbers of assumptions around it.
Roger Nedrow: So in real simple terms, I have this, as long as we keep making money, we’re never going to pay income taxes because we carry over the losses from prior years?
Kathryn JohnBull: Well, if this is how we run through, yes, significant tax operating losses, that’s right.
Roger Nedrow: So we put cash back into the Company because we’ve earned money, but we don’t pay tax on that?
Kathryn JohnBull: Absolutely right, you got it.
Operator: And there are no other questions on the audio line at this time.
Zach Parker: Well, I'd like to again in closing say thank you to everyone. We look forward to continuing to keep you updated on the progress of the Company and to give you updated report as we launch the first quarter of FY15. Thanks again everyone. Bye for now.
Operator: Thank you very much. This concludes your conference. Thank you for your participation. You may now disconnect. Have a great day.